Company Representatives: JI Qi - Founder, Chairman Jin Hui - Chief Executive Officer Liu Xinxin - President Chen Hui - Chief Financial Officer Ye Fei - Deputy Chief Financial Officer Jason Chen - General Manager
Operator: Hello everyone! Thank you for standing by. Welcome to the Huazhu Group’s Q3 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions]. I would like to hand the call over to your first speaker today, Mr. Jason Chen, of the company. Please go ahead.
Jason Chen: Thank you. Good morning and good evening everyone. Thanks for joining us today. Welcome to Huazhu Group's 2021 third quarter earnings conference call. Joining us today is our Founder and Chairman, Mr. JI Qi; our CEO, Mr. Jin Hui; our President, Ms. Liu Xinxin; our CFO, Ms. Chen Hui; and our Deputy CFO, Ms. Ye Fei. Following their prepared remarks, management will be available to answer your questions. Before we continue, please note that the discussion today will include forward-looking statements made under the safe harbor provision of the United States Private Securities Litigation Reform Act of 1995.  Forward-looking statements involve inherent risks and uncertainties. As such, our results may be materially different from the views expressed today. A number of potential risks and uncertainties are outlined in our public filings with the SEC. Huazhu Group does not undertake any obligations to update any forward-looking statements, except as required by applicable laws. On the call today we will also mention adjusted financial measures during the discussion of our performance. Reconciliation of those measures to comparable GAAP information can be found in our earnings release that was distributed yesterday. As a reminder, this conference call is being recorded. The webcast of this conference call, as well as supplementary slide presentation is available on Huazhu Group's website at ir.huazhu.com. With that, now I will turn the call over to Mr. Qi Ji. Mr. Ji, please.
Qi Ji: Good morning and good evening everyone. Thank you for joining us today. [Foreign Language] which means a heavy shower really lasted for a day. I was optimistic at the beginning last year, and as a result this pandemic is just a heavy showers, not a light one. However, that is more like the yellow plant season in Shanghai, pollinating back and forth.  The persistent COVID-19 variation and the recurrence from last year had brought serious impacts and uncertainties to the lodging industry, and also seriously affected consumers travelling activities. It also had brought varying degrees of disruption to our hotel construction and opening progress from time-to-time. Undeniably, the longer than indicative addition of COVID-19 has weakened the franchisees confidence and the willingness to invest in the lodging market.  In the past few years concerning the increase in influence of our external online traffic, we have been consistently implementing a large scale expansion in order to be more independent. However, essentially we had witnessed the complexity and the challenges of global macro-economic and international politics, all suffered [ph] by COVID-19.  But at the same time, Chinese government has been continuously promoting the supply side that is structurally formed and optimization from quantity update to a quality update, trying to change the set backdrop we reviewed on our strategy and decided to adjust our growth from previously major scale growths to linked going forward. It means in addition to the absolutely defined, our hotel network, we will continue to provide better product and refine the service to improve customers’ experience.  We hope our hotel products represent the truly craftsman spirit, with a more durable, environment friendly and bring sustainable benefit to our franchisee in time. We will further utilize our core competences such as loyalty program, technology and our supply chain capability to support our franchise to overcome the difficulties; manage hotels more easily and achieve better profitability in the long run.  The [inaudible] where we carried out our new management team, CEO with Jin Hui and the President, Mr. Liu Xinxin, both of them have been with Huazhu for a long time and made tremendous contribution to the company. I would like to thank them for their strong commitment in the current challenged environment to protect their new roles and I believe that they will be a strong leadership team for Huazhu for the new chapter of growth.  With that, I will turn the call to Jin Hui to update our business development. Thank you.
Hui Jin : [Interpreted] Thank you, Ji Qi. As mentioned by Ji Qi before, Huazhu’s further growth strategy will be adjusted from [Inaudible] growth to linked growth. In fact, Huazhu had already implemented the COVID-19 prevention measures since the initial outbreak of COVID-19 back to 2020. In order to provide safety to our customers, Huazhu had required all its hotels to use intelligence contactless services, including self-check-in and check-out, robust delivery, online checking through Huazhu app and so on. It’s enabled our customers who spend less time in public and lobby areas to reduce the risk of virus transmission and cross infection.  In May 2020, Huazhu released Comfort 360 White Paper, which is the first White Paper in the China lodging industry. It is the first professional cleanings standard report for Chinese lodging industry. In the beginning of this year, with our contact of quality hotels, Huazhu further upgraded our Comfort 360 program. The upgraded version mainly focused on two areas, one is COVID-19 prevention and safety, and the second one is the customer experiences. At the same time, we also used both of our online big data management and offline quality check to ensure the implementation of this program. In details, Comfort 360 program will assess the hotel quality from four key dimensions to insure a 360 degree great customers experience is without any dark corners. Hotels can only be certified as quality hotel when complied with all four dimensions, which including central procurement standards, hotel facility standard, hygiene standard and safety standard.  As of now 67% of our hotels in operation had complied with all of our four standard. Hotels products and the service quality are very critical parts for our future growth strategy. Therefore our Comfort 360 program, we’re consistently being upgraded to ensure the best quality of hotel and services to be provided to our customers for better staying experiences.  Nextly, please turn to slide five, I will review our RevPAR recovery trends over the last year. Since January till now COVID-19 reoccurred eight times totally in either small or large scale. As you can see from the figure, those large scale outbreak was spreading over to many provinces and cities have significantly impacted our RevPAR recovery.  The most recent resurgence began in November, has already spread over to more than 20 provinces, which again significantly impacted our November RevPAR recovery. As of 23rd of November, the month-to-date RevPAR recovered to only 68% of 2019 level. As Ji Qi mentioned in the beginning, the persistence COVID-19 recurrence and the traveling restriction imposed by the government had significantly impacted our construction progress, as well as franchises routing this on timely hotel openings.  Please turn to slide six. The figure shows our monthly number of hotel openings for 2021 taking August and October as an example, which had big impact from COVID-19 resurgence. Before the COVID-19 occurred, according to our pipeline and hotels in construction, our planned hotel openings were 169 and 134 hotels in each month respectively. However, due to the COVID-19 impact there was a gap of ovary 80 hotels between our planned and actual number of hotel openings.  Please turn to page seven. As you can see our signings has grown relatively healthy at 41% by the end of September 30. The total new signing achieved was over 2,100. In addition, along with our lower Tier city's penetrations, our hotels in pipeline and in operations, which from the lower tier cities contribute over 57% and 54% respectively. In fact undeniably, consistent resurgence of COVID-19 had putting a lot of impacts to our franchisees wellness and competence. Compared to the first two quarters, our new signings speed slowed down a little in the third quarter. Therefore in the current uncertain situations and market conditions, our franchisees become more careful.  Please turn to slide eight. As Ji Qi said previously, our future growth will focus more on lien growth. For this strategy franchisees operation performance and the profitability is one of the most important part. Therefore, we launched a new franchisee caring policy in June. The franchisees caring policy mainly including one provided up to two months of 50% management fee discount for franchisee whose hotels are located in middle or high risk areas in China. Secondly, the deferred payments on management fees and CRS fee, and certainly helped to every qualified franchisees to opt up to RMB1 million for each loan from financial institutions. Huazhu is the only hotel group which provides management fee discounts to franchisees in middle or high risk areas in China in the industry. As one of the leading company, we will go through the recent tough period together with our franchisees.  Moving to our progress of upscale hotel development, please turn to page nine. The pictures in the slide shows some of our upscale hotels opened during this year. As of September 30, Huazhu totally opened 10 upscale hotels and signed up 44 scale hotels. Those opened and signed hotels covers various brands such as Steigenberger, Blossom House, [inaudible] and so on.  Moving to page 10, in addition to both our joint venture company, Huazhu is presently rebranding around 20 upscale hotels which were previously operated or managed by other hotel groups. In addition, we had already transferred the core system of this upscale hotels to Huazhu own system within only 30 days, achieving another milestone.  To rebrand around 20 upscale hotels within such a short time period, that significantly helped Huazhu to further penetrate into high end hotel segment and to grow up more market share here. However undeniably, this also brings many challenges to Huazhu.  For the high end hotel segment, we are still in the experimental stage. Huazhu is good at operating the limited service hotels, but for the upscale hotels there are still some short comings such as branding, operations, talent cultivation and organization which brings many changes to the company on how to figure out a great way to better operate upscale hotels. However, we are very confident that Huazhu has the capability to in its own way for unique operation in the market.  Moving to slide 11, we are continuously investing in our IT development. Our IT investments mainly focus on two aspects, to see for the customer, and two, for our franchisees. At the C level we are devoting our further, we are devoting and further strengthening our direct sales capability and building up an omni-channel marketing and selling system. And To B level, we are devoting to achieving a full cycle empowerments of our franchisees through hotel location selection, hotel construction, hotel operation and so on.  Although Huazhu’s IT capability is in the leading position in the market, we are still seeing a lot of rooms for further improvements. For example, for the C side, our single hotel sales capability and customer acquisitions capability can be further improved. Also, a more precise revenue management as well as various digitalization application across both hotels and organizations still see plenty of room for the improvement.  For the B side, a better urban planning and a more precise location identification are also seeing many improving potentials. Putting them together, we would further leverage our technology and data capability to drive more precise business empowerment to achieve our lien growth strategy in the future.  As I mentioned before, also the persistence of COVID-19 recurrence impacted our business operations. We are happy to see our members, our loyalty programs, especially our corporate members contribution achieved under the correct results for the third quarter.  Please turn to page 12. As of now, our total number of members continuously grow to nearly $190 million, even considering the high base.  Please turn to page 13. Our CRS contribution also improved from 56% in the third quarter of 2020 to 60% in the third quarter of 2021. At the same time, along with our lower tier cities penetration strategy, these CRS contribution in lower tier cities is very close to the higher tier cities. As of the third quarter of 2021, CRS contribution in tier 3 and below cities achieved 59%, which is only 1 percentage points below compared to tier 1 and tier 2 cities at 60%. Please turn to page 14. The room nights contributed by our corporate customers are also further increased from only 9.6% in the third quarter last year to 11.8% in this quarter. Especially in the up-middle and upskill hotel segment, the increase in corporate customers’ contribution is more significant. As of the end of the quarter, the room nights contributed by corporate customers for our up-middle and upskill hotel segments achieved a 30.2% and 35.4% respectively, both improved by 5 percentage points compared to the same period of last year. With that, I will turn the call to Ms. Fei Ye to discuss our third quarter operation and the financial performance.
Fei Ye: Thank you. Good morning or good evening to everyone wherever you are. Let's move on to our operational and financial review for the third quarter of 2021. As shown on slide 16, our hotel network expanded by 14% in Q3 to 723,000 compared with 634,000 last year. Excluding DH Legacy-Huazhu hotel network expanded by 14% year-on-year to roughly 700,000 in the third quarter of 2021. For our hotel turnover in the third quarter, our total hotel turnover grew at 15% year-on-year to RMB12.2 billion in the third quarter. This was mainly due to our continuous network expansion in China and the recovery of DH corporation, while offset by the inactive impact of COVID-19 resurgence in Nanjing since late July. Excluding DH, Legacy-Huazhu’s hotel network grew 14% year-on-year to RMB12.2 billion in the third quarter. DH’s year-over-year is 132%, more attributable to the improvement in hotel occupancy. Turn to page 17. Legacy-Huazhu’s blended RevPAR for the third quarter 2021 declined 18% compared to 2019. The ADR in the third quarter was flattish compared to the one in 2019 at RMB246. While occupancy in the third quarter is 16 percentage points lower compared to 2019, it was mainly due to the COVID-19 resurgence in Nanjing as mentioned above.  Turning to page 18, our Legacy DH business saw continues recovery in the third quarter 2021. Therefore our legacy DH blended RP, RevPAR for the third quarter 2021 grew to 36% to the EUR48 compared with the third quarter of 2020. The occupancy improved by 11 percentage points compared with the third quarter 2020 and the ADR improved by 6% to EUR99. For the same period of 2019 actually the RevPAR is EUR74 [ph], so that means there's still a long way for the recovery.  Please see our financial results on slide 19. Total net revenue grew by 12% year-over-year to RMB3.5 billion in the third quarter 2021. Excluding DH Legacy-Huazhu recorded at 7% year-over-year growth rate to RMB2.9 billion, which was in line with our previous guidance. Legacy-Huazhu recorded a slower revenue growth, mainly due to the COVID-19 resurgence in Nanjing starting from late July and August.  Breaking down the revenue of the third quarter, leased and owned revenue increased by 10% year-over-year to RMB2.3 billion. Excluding DH, the lease and owned revenue of Legacy-Huazhu grew by 4% year-over-year to RMB1.8 billion.  Net revenue from manachised and franchised hotels grew by 13% to RMB1.1 billion, mainly driven by the strong growth of network expansion in China. Due to the further expanding hotel networks with asset-light model, the manachised and franchised revenue contribution enlarged to 32% in the third quarter of 2021 at the growth level. Currently we can say the main driver is due to the manachised and franchised business in China. Now let's move on to the cost and profitability section on slide 20. The hotel operating cost for the third quarter 2021 was RMB2.9 billion, increased by 17% year-over-year. For Legacy-Huazhu, which recorded RMB2.3 billion hotel rating cost indicating a 17% year-over-year growth. The increase was mainly attributed to the first higher rental cost of the new upscale and upper-mid-scale hotel and the recently acquired CitiGO portfolio in May. Second, higher hotel level personnel cost, as well as we keep growing hotel network net rapidly. And third, some reclassification cost from SG&A to other hotel saving costs. For Legacy DH, it recorded RMB630 million hotel operating cost indicating a 15% year-over-year growth. The increase was mainly due to variable cost, increased along with the business recovery, such as short time workers, food and beverage and consumables.  As we mentioned in the previous quarters, our future expansion of upscale will mainly use SLI model, therefore our pre-opening cost declined by 64% year-over-year to only RMB15 million in the third quarter ’21. Having said that with caution, we are still evaluating and investing this hotel at good location at right price.  Our SG&A in the third quarter 2021 increased by 14% to RMB577 million, mainly driven by the increase of Legacy-Huazhu. Excluding DH, the SG&A for Legacy-Huazhu increased by 29% year-over-year to RMB435 million. This was mainly due to the more headcount for various departments such as BD team to further penetrate into lower tier cities, corporate sales teams to boost direct sales from corporate accounts, upscale business unit to support our leapfrog in this new era, and lastly technology team for various projects in both China and DH.  In the third quarter 2021 the reported operating income was RMB72 million compared to a loss of RMB201 million last year and a positive RMB629 million a quarter before. The New Year improvement was mainly driven by the DH business recovery and one-time non-cash goodwill impairment of RMB437 million booked in the third quarter 2020, but offset by the weaker China business performance.  Apart from COVID-19 impact for China business, the quarter-over-quarter profit decline was due to the RMB20 million government subsidies received during the third quarter for DH compared to over RMB300 million booked in Q2. Excluding DH, Legacy-Huazhu’s operating income in the third quarter 2021 was RMB239 million compared to RMB523 million last year and RMB763 million a quarter ago.  Turning to page 21, our adjusted EBITDA income RMB385 million in the third quarter 2021 compared to RMB184 million a year ago. DH’s EBITDA loss in the third quarter 2021 was RMB115 million, narrowing from RMB669 million last year, similar reason mentioned at the previous slide.  Excluding DH, Legacy-Huazhu recorded an adjusted EBITDA income of RMB500 million declined by 41% in the third quarter of 2020 due to the impact of COVID-19 research and team managing. In the third quarter of 2021 we recorded adjusted net loss of RMB0.6 million narrowed from a loss of RMB218 million a year ago. Excluding DH, Legacy-Huazhu recorded an adjusted net income of RMB117 million, declining from RMB476 million in 2020 third quarter. The non-GAAP pro forma adjustment mentioned on this page included unrealized gain or losses from fair value change of equities related to some of our investments. Coming to the cash position on page 22, our net debt remains healthily at RMB5.2 billion by the end of Q3 and there is no risk of breaching the financial covenant of the US$1 billion syndication loss. Our cash balance was RMB5.4 billion and the unutilized bank facilities was RMB7 billion. The cash position will allow Huazhu to further pay down the bank debt in 2022 and also be used to weather any unforeseen circumstances. Now let’s zoom in a bit into DH. As of November 23, 2021, 71% of the entire German population has received at least one shot and 68% of population was fully vaccinated. Along with the growing inoculation rate and the receding third wave COVID in August, the restriction was gradually eased for people who are fully vaccinated or who have recovered from the COVID.  DH’s business recovery started in the second quarter and continued in the third quarter during the summer time, now even stronger in October. However, considering the re-emergence of the fourth COVID wave in New York right now with dramatically-rising-7-day-incidence rates since early November, the recovery trend becomes unpredictable again. It was determined by the outpouring of the pandemic and future government policies on travel restrictions. As far as I know, the German government has urged the unvaccinated people to be vaccinated as soon as possible, because there’s still around 30% people, in order to protect themselves and others.  Meanwhile DH is continuing to implement further cost reduction and cash flow measures, especially regarding personnel and the lead costs. In that the impacts of the further lockdown will be partially offset by the extension of government subsidies. In addition to the subsidy recorded in Q2 relating to the 2020 lock-down. In October DH has submitted a new application for government subsidy related to 2021 lockdown.  Turning to page 24 on guidance; considering the latest round of COVID-19 impact since late October and also the fourth wave in Germany, Huazhu expects for the fourth quarter of 2021 the new growth will be in the range of 6% to 10% compared to the fourth quarter of 2020, a reduction of 4% to 8% excluding DH. To provide a more meaningful guidance excluding the impact of COVID-19, Huazhu expects the net revenue growth will be in a range of 12% to 16% compared to the pre COVID-19 results in the fourth quarter of 2019 or net revenue reduction to be in the range of 7% to 11% excluding DH.  Referring to the above mentioned impact, our full year revenue guidance is lower to the range from 22% to 26% or a range from 26% to 30% excluding DH. To provide a more meaningful guidance excluding the impact of the COVID-19, Huazhu expects net revenue growth will be in the range of 11% to 15% compared to the pre-COVID-19 result of 2019 or a reduction from 0% to 4% excluding DH. With that, let's open up for Q&A. Thank you.
Operator: Thank you. [Operator Instructions] First question comes from the line of Billy Ng of Bank of America. Please go ahead.
Billy Ng : Thanks and good morning management team. I have two questions. The first question is, we noticed the opening pipeline. The company's now has 2,800 off hotels in the pipeline. I just want to get that view from the management that among the 2,800 hotels, how many of them could be open within the next 12 months and are there any hotels at risk given the current situation, some of the franchisees or sign-ups may change their mind to drop their project. That's my first question, and then I have a second question. 
Jin Hui: [Interpreted] Okay, I think in terms of our pipeline cover to the opening for the next year, as I mentioned previously, given the impact of the COVID year, you know post supply chain as well as the construction progress has been impacted significantly. The previous finance construction period was roughly six to seven months, which was delayed by the COVID impact, an increase to some of the uncertainties.  However, for our total pipeline we still think those opportunities can be converted without the COVID impact, but we’ll still be very cautious to continuously evaluating the situation for the next year. 
Billy Ng : Great! And thanks. My second question is actually, it’s related to the high end hotel. It seems like the company already has at least 10 high end hotel in operations. So like I just wonder if you can provide a bit more color and update on these hotels in terms of their RevPAR, the GOP rates and margin or and then also in terms of take rate, what kind of take rates can we get from them? Thanks. 
Jin Hui: [Interpreted] Okay. In terms of our high end hotels, items of the take rate, so given that our high end hotel managements are using the two management contracts, you can just refer to those international brands such as Marriott and ISG, which are the similar rates compared to those international players.  In terms of the operation situation, like I mentioned before, given the COVID impact, those newly opened hotel had significantly impacted by COVID and we are still in RevPAR period for those newly open high end hotels. However, in terms of the operation in the future, we still is in the leverage of our teams’ core competency in terms of the high efficient operation to reduce the cost and IT empowerment. IT capability to empower all those high end hotels though the shared service. We believe that we can achieve the GOP 20% higher compared to other players in the future.  In addition, we are very happy to see that since the initial open of our Starting Group of Hotels in Jinhan [ph] and we achieved 100% occupancy rate within one month. And also, our membership or our CIs contribution for the upscale hotels also achieved is 30%. Thank you. 
Billy Ng : [Foreign Language] Thanks Jason. 
Operator: Thank you for the questions. Next question will come from the line of Ruben Pung [ph] of UBS. Please go ahead. 
Unidentified Analyst : [Foreign Language]  Now the Chinese rule is that, enterprise has been suffering from a lot of issues and will the cooperation between the company and the Sunac be influenced? 
Jin Hui: [Interpreted] Thank you. So actually I personally discussed with managed team with Sunac recently. And undeniably the Chinese real estate industry has been impacted quite significantly given the macro and the political changes and new policies, especially for the residential property. That definitely will cause some of the concern on the liquidity of those real asset companies which has – there is the likely hope that some of the real estate companies will select, will chose to sell their commercial properties.  But I want to remind a little bit, because for the hotel property that has relatively high liquidity compared to others and given the current situation, the hotel property will concern more on the efficient operations, which is Huazhu’s core competency. So therefore we think at the current situation Huazhu has the core competency to provide the high efficient operations, which could be potentially benefit from this.  The high GOP, the higher portion from the Chinese customers and IT capability will be the key dimensions for those hotel operators or hotel owners to choose, to consider. Therefore currently our joint venture with Sunac, even though Huazhu with its joint venture company has no impact form the current situation and the current market conditions, we still hope and have confidence that we can further enlarge our skill and provide better operations through this joint venture management company.  I hope there will be a relatively large deal with new hotel openings within this joint venture company next year. 
Operator: Thank you. The next question comes from the line of Simon Cheung of Goldman Sachs. Please go ahead. 
Simon Cheung: Hello! Thanks for taking my question. I think I have two questions. Just on the first one, I understand the message about the difficulty to secure contract as well as opening hotel given the COVID situations. I just wanted to get a sense to what extent was also it driven by maybe the housing market downturn and also the liquidity situations in China. And I have another follow up. 
Jin Hui: [Interpreted] Given the persistent COVID-19 recurrence over the last year, actually we can definitely see a supply decline, especially for the independent hotel. Well, this actually provides some of the good opportunities for Huazhu posted currently to consolidate the industry.  As we can see, currently I think things are delayed, things to November. Currently the situation in China gets much better and we also see a strong business recovery currently. Therefore in the future we still believe that no matter the demand or the supply decline will also create a very healthy market condition for us.  Especially for the economic and middle skill and middle service hotels segments we still see there is a lot of demand coming though, and in addition there is also within the province struggle, to deliver probably we are seeing our provinces still having a quite strong demand.  In the upper middle and upscale hotel segments we are also working hard to try and convert those existing hotels. We have been doing a lot of this kind of works since the year beginning. Thank you. 
Simon Cheung: Thanks for the answer. My second question is related to I guess the – exactly to your earlier point about the opportunity to consolidate the markets. I wanted to get a sense, how management is thinking about potentially using their balance, given the difficulty to gain more organically. And also if you can provide us with some hotel ad guidance; has that been changed for the full year or even if you can give us some color for even next year of possible. Thanks a lot. 
Jin Hui: [Interpreted] In terms of the M&A opportunities, Huazhu always keep open minded to this kind of opportunity. We are very happy to see some of the potential opportunities which can help us to fulfill the brand, you know different hotel segments and we are very proactively looking for this opportunity. For details, I think Ms. Xinxin could discuss more later.  Apart from what we’re seeing for M&A, we also use different ways such as you know management and the joint venture of operations in different areas in China. We have been working on this for the entire 2021 and we have some great details that can be shared to the market shortly. 
Simon Cheung: Alright, thanks a lot, much appreciated. Thank you. 
[End of Q&A]:
Operator: Thank you for the questions. In the interest of time, I’d like to hand the call back to the management for closing. 
Ji Qi : Thank you everyone for taking your time with us today and we look forward to contact with you again in the coming quarter. Thank you. Bye-bye! 
Operator: That does conclude the conference call for today. Thank you for your participation. You may now disconnect your lines.